Operator: Good day, ladies and gentlemen, and welcome to the Sabra Health Care REIT Fourth Quarter 2016 Earnings Conference Call. This call is being recorded. I would now like to turn the call over to Talya Nevo-Hacohen, Chief Investment Officer. Please go ahead.
Talya Nevo-Hacohen: Thank you. Good morning. Before we begin, I want to remind you that we will be making forward-looking statements in our comments and in response to your questions concerning our expectations regarding our acquisition and investment plans, our expectations regarding our financing plans and our expectations regarding our future results of operations. These forward-looking statements are based on management's current expectations and are subject to risks and uncertainties that could cause actual results to differ materially including the risks listed in our Form 10-K for the year ended December 31, 2016 to be filed with the SEC today as well as in our earnings press release included as Exhibit 99.1 to the Form 8-K refurbished to the SEC earlier today. We undertake no obligation to update our forward-looking statements to reflect subsequent events or circumstances and you should not assume later in the quarter that the comments we made today are still valid. In addition, references will be made during this call to non-GAAP financial results. investors are encouraged to review these non-GAAP financial measures as well as the explanation and reconciliation of these measures to the comparable GAAP results included at the end of our earnings press release and the supplementation information materials included as Exhibit 99.1 and 99.2 respectively to the Form 8-K refurbished to the SEC earlier today. These materials can also be accessed in the Investor Relations section of our website at www.sabrahealth.com. And with that, let me turn the call over to Rick Matros, Chairman and CEO of Sabra Health Care REIT.
Rick Matros: Thanks, Talya. Thanks, everybody for joining us. So, I chose the Beatles' Helter-Skelter for our hall music today, because I couldn't find a song called Finely Tuned Machine, so we dedicated to 45. Let me start with talking about kind of regulatory environment and ACA. We're feeling replaced at this point is quickly up in the air and the events that happened I just need to make a couple of comments. Relative to ACA, the only component of a repeal consideration or replace consideration that would affect the post-acute sector of the Medicaid blocks grants. And the Medicaid block grants, they test the house actually twice, the number of years ago. It never got pass the Senate. But we would make a couple of assumptions block grants were to occur when they get spread out in terms of the financial building being put on the states over a period of probably around 10 years. And we also think it was a very high likelihood for a number of reasons, which we can get into later if you guys are interested that long-term care [ph] will be parked out. So that's sort of our view on back grants. In terms of everything else, it's early CMS that's driving the train in terms of what affect the post-acute sector. And the only thing we're hearing about that that may change is that secretary pricing, stop the mandatory bundling. So, the margin that's helpful never affected a material portion of skilled population. And I think there will be a number of action to it, but if it’s a mandatory bundling, it stopped and then it will just help a little bit on the margins. So, that's kind of our view of what's happening relative to ACA and CMS. I'll move onto our strategy and our investments. We closed $45 million in investments in the fourth quarter and that included a $23.7 million investment on a development project in Nevada someone had a question as to why that came up to the development as we acquired it in the fourth quarter which is why came up to the development work. To the year, it is just under $166 million in investments. In 2016, we've recycled $314 million in capital improving our balance sheet, in 2017 we're proceeding with the sales of a real estate of 35 Genesis facilities. And the real estate are a number of those buildings, because Genesis has determined that Americas interest to stay in three of those states and because regulatory and reimbursement outlook has improved in one state in particular which was the biggest state that we have in our grouping. So, but from our perspective we've made a commitment to getting our exposure on the Genesis. And so, we are continuing with the sales of those properties is the change obviously that Genesis and a number of those buildings will stay and the operators and we'll just still - real estate. We have buyers lined up, it just changed the timing which affected our timing in terms of providing guidance that we feel will be really solid. So, we will continue down that process and how we'll talk a little bit more about that. The benefits as remains the same as it Genesis is in or out. The other comment I want to make relative to our divestiture program is, historically we've been satisfied with reducing our Genesis exposure to growth of Sabra. And through our first six years we've reduced that exposure by almost 78%. As we get bigger that becomes more difficult to move that number down more quickly. And we were pleased that we have come to in an agreement to sale the assets that we've already talked about on this call and the last call. But going forward, we're going to be more aggressive in reducing our Genesis exposure. So as these sales completions we will be identifying other assets that we currently have with Genesis and continue to sale assets and if Genesis like to say as the operator it's obviously fine we think there are plenty of buyers in the private market that would be interested in the real estate only and we'll proceed down that path. So, that's going to allow us to not just depend on growth but combined our natural growth with very active divestiture program. So, we do some exposure to Genesis. In terms of our pipeline, we're really active right now, we're getting numerous books every week that we're signing [indiscernible] on. We’ll see with all the results and insurances actually acquiring assets, but we haven't seen this much activity this early in the first quarter actually in the long time. In the last year was light throughout the year but typically most first quarters are light. It's been very, very active. So, we have in excess of $500 million in our pipeline and just to remind everybody when we talk about our pipeline decisions just that comes across that these are deals that we're actively working on and we're doing underwriting analysis to see if we actually want to bid on these. The $500 million or about 50% of skilled nursing and 50% is senior housing. And we saw that activity starting to pick up at the end of this year and it's just really accelerated since then. So, we actually feel pretty good about that. In addition to anticipating more active year on the acquisition front, this is the year that our proprietary development pipeline will start showing some real tangible results. And we expect to acquire $130 million or exercise our options our $130 million in assets that are currently in the development pipeline sometime in the second half of 2017 which will obviously just improve our outlook for the year looks like. In terms of operational results, we have a really strong quarter our skilled transitional care portfolio EBITDA coverage improved sequentially to 1.49 to 1.52 that's an all-time high for us. Our skilled transitional care occupancy was up sequentially 90 basis points from 87.3% to 88.2% and our skilled has picked up slightly to 43.8% that's also a high for us. Our senior housing EBITDA coverage was up sequentially from 1.13 to 1.22 sequential occupancy was steady at 89.4 from 89.5. Our Genesis and holiday fixed coverage remains flat at 1.24 174 respectively our coverage with the tenant hospital improved to 2.19. And with that, I will turn the call over to Harold, so we'll go to Q&A.
Harold Andrews: Thanks, Rick. I will provide an overview of our results for the fourth quarter and our financial position as of December 31, 2016, as well as provide some details on the Genesis asset sales and some initial insights into earnings expectations for 2017. For the three months ended December 31, 2016, we recorded revenues of $61.8 million compared to $66.8 million for the prior year, a decrease of $5 million primarily due to the exit from the Forest Park investments earlier in the year, which provided $7.6 million of rent and interest during the fourth quarter of 2015. This reduction in revenue was offset primarily by incremental rental income from our acquisitions. FFO for the fourth quarter of 2016 was $40.7 million and on a normalized basis was $40.6 million or $0.62 per diluted common share normalized to exclude the recognition of $3 million of lease termination fees, $3.2 million of provision for doubtful accounts and loan losses in excess of related revenues recorded during the quarter and a $0.4 million gain to related to our interest rates swap activities. This normalized FFO compares to normalized FFO for the fourth quarter of 2015 of $41.9 million or $0.64 per diluted common share, normalized to exclude a $2.6 million interest income catch-up from the Forest Park worth [ph] loan $5.3 million a provision for doubtful accounts and loan losses in excess of related revenues during the quarter. And non-recurring or unusual acquisition cost of $0.5 million associated with an acquisition closed in that quarter. AFFO which excludes from FFO expense acquisition pursuit cost and certain non-cash revenues expenses was $38.8 million and on a normalized basis was $35.7 million or $0.59 per diluted common share for the fourth quarter of 2016, compared to $36.2 or $0.55 per diluted common share for the fourth quarter of 2015. 2016 AFFO normalized to exclude the same lease termination fee and other insignificant items reducing AFFO by $0.1 million. 2015 AFFO was normalized to exclude the same excess interest income impacting normalized FFO in 2015 and $0.6 million a provision for doubtful cash income in excess of related revenues. Net income attributable to common stockholders was $20.6 million or $0.31 per diluted common share for the quarter compared to $22.5 million or $0.34 per diluted common share for the fourth quarter of 2015. I’d like to briefly point out that we have changed our accounting policy to the early adoption of [Technical Difficulty]
Operator: Again, we are allowing people to rejoin the conference. And it does appear that we have most of our participants have rejoined, just a few are still standby to be answered.
Rick Matros: So, why don't we resume.
Operator: Okay, very well.
Rick Matros: So, thank you for your patience, we have no idea what happen, we’ll find out other than the fact that it's in parallel sort of talking about the change in the accounting policy, you all seem to drop off. Harold will resume nevertheless.
Harold Andrews: At the risk of losing again, we will start right back. What I was talking about, we've changed our accounting policy, the early adoption of accounting standards update 2017-01 business combinations, which clarifies the definition of the business combination. Under this new standard, acquisition subsequent to October 1, 2016 were considered asset acquisitions and we have capitalized the acquisition cost associated with these investments, rather than expensing them as we have done in the past. We expect future acquisitions, pursue cost will be capitalized when associated with the completed real estate asset acquisition, thereby reducing our G&A cost going forward. G&A cost for the fourth quarter of 2016 totaled $4.4 million and included stock-based compensation expense of $1.4 million excluding these costs, our recurring G&A cost were 4.9% of total revenues for the quarter. Interest expense for the quarter totaled $15.7 million compared to $16.1 million in the fourth quarter of 2015 and included the amortization of deferred financing cost of $1.3 million in each quarter, based on debt outstanding as of December 31, 2016 our weighted average interest rate excluding borrowers, borrowings under the revolving credit facility was 4.55% and taking our interest rates swaps into consideration only interest on a revolver remain subject to interest rate fluctuations which currently represents two 2.2% of our total debt. Borrowings under the unsecured revolving credit facility their interest at 2.77% as of December 31, 2016. During the quarter, we recorded a $2.3 million provision for doubtful accounts in loan losses compared to $6.2 million in the fourth quarter of 2015. The current quarter provision is primarily related to straight line rents. During the quarter, we recorded other income of $5.3 million primarily consisting of a $2.6 million lease termination fee associated with a $10 million amount previously paid by Genesis. $1.6 million of other income related to earn out liability estimate adjustments and a $0.4 million lease termination fee associated with one skilled nursing facility sold during the quarter. Finally, we recorded a $2.9 million loss on sale on real estate associated with two skilled nursing assets and one partial land that were sold during the fourth quarter and provide a $12.6 million of aggregate net proceeds. Investment activity for the third quarter included three senior housing assets with an aggregate of purchase price of $43.7 million and as Rick indicate and bring our total investments to a $165.7 million within aggregate initial yield of 8%. The acquisitions during the fourth quarter will funded with cash on hand and proceeds from our revolver. Looking at the statement of cash flows from the year and our balance sheet as of the end of 2016, our cash flows from operations for the year totaled $176.7 million compared to $121.1 million in 2015, this is an increase of 46% year-over-year and was driven by strong growth in our Board investment portfolio over the past two years and in collection of amounts to on Forest Park investments. 2016 was a year of significant capital recycling resulted in combined proceeds from laundry payments and real estate asset sales of $314 million such proceeds were used to finance our investment activity as well as provide us the ability to reduce our outstanding revolver balance by $229 million during the year. As of December 31, 2016, we had total liquidity of $499.5 million consisting of currently available funds under our revolving credit agreement of $474 million in cash and cash equivalents of $25.5 million. We are in compliance with all of our debt covenants under our senior notes and debentures and our credit agreement as of December 31, 2016, and continue to have strong credit metrics as follows. Net debt to adjust EBITDA of 5.22 times, interest coverage of 4 times, fixed charge coverage of 3.2 times, total debt to asset value of 43%, secured debt to asset value of 6% and unencumbered asset value to unsecured debt of 247%. In January of 2017 both S&P and Fitch affirmed our current ratings of BB minus and BB plus respectively, both with the stable outlook. S&P indicated consideration of a positive rating action, if we successfully dispose the Genesis assets currently in the market and reinvest the proceeds and leverage neutral manner. Fitch identified a pathway to positive momentum on the ratings which included the sale of the Genesis assets. We are pleased with the agencies have affirmed our ratings and we will continue to pursue our objective of achieving an investment grade rating for Sabra. On February 3, 2016, our Board of Directors declared a quarterly cash dividend of $0.42 per share and $0.44 per share on our Series A preferred stock, both dividends will be paid on February 28, 2017 to stockholders record as of the close of business on February 15, 2017. The common dividend represents a 77.8% of the fourth quarter 2016 normalized AFFO per share. Quickly an update on the Genesis asset sales, as Rich mentioned Genesis emphasize to continue to operate up to 21 of the 35 facilities we are selling. This change by Genesis has slow deposits a bit for us, we will not result any significant change in the outcome which again is as follows. We expect total estimated proceeds of between $200 million and $220 million and a $185 million to $205 million net of debt assumptions. We expect net proceeds will be used primarily to fund acquisitions and to pay any outstanding amounts on our revolver. Estimated aggregate weight reductions from Genesis upon sell the assets of approximately $15 million to $17 million. Genesis exposure after the sales are completed estimated to 27.9% and 26% after the proceeds are reinvested. Similar modifications remain leases and guaranties with Genesis as previously disclosed resulting a flexibility to sell additional assets in the future. The estimated impact on our annual AFFO per share of $0.02 after elimination of debt and reinvestment of proceeds. We don’t expect any dilution on an FFO basis due to straight line impact of lease expansions with Genesis. And then again, we expect to be sales will not be completed on the third quarter of 2017. Now, couple of comments regarding our 2017 financial performance expectations. Given the uncertainty surrounding the timing of the Genesis asset sales and related timeframe required to redeploy proceeds from those sales it is not practical to provide a full year earnings outlook for 2017 at this time. Our fourth quarter supplemental includes pro forma information to indicate net income, normalized FFO and normalized AFFO per diluted common share of $0.31, $0.62 and $0.54 respectively for the fourth quarter of 2016. This pro forma gives us a full year effect to all investments and this position activity complete during the quarter led by providing an annualized run rate of a $24 for net income, $2.48 for normalized FFO and $2.16 for normalized AFFO. We believe these pro forma amounts are reasonable starting point to our operating results in 2017. However, they do not reflect the impact on FFO and AFFO or net income from the Genesis assets sales. The expected Genesis rate reduction of $15 million to $17 million represents more than $0.20 per share for FFO and AFFO on an annualized basis. So, the uncertainty around timing for selling all of these assets as well as a timeframe for redeployment proceeds makes a difficult to estimate the impact on our 2017 net income, FFO and AFFO. While we don’t expect to all of these proceeds for an extended time, it is very possible to some portion of those sequence but not be redeployed immediately resulting in some short-term impact on 2017 earnings which is know at this time. Also, this fourth quarter 2016 run rate is not taking to account any acquisition that we may close in 2017 or any changes to our corporate overhead cost. I will say that that we do not expect our ongoing cash corporate overhead cost to increase martially over 2016 levels and expect those to average about $3 million per quarter excluding stock based compensation expense and any expense acquisition pursue cost. And finally, in January of 2017, we found the shop registration statement with the SEC to replace the shop registration statement that expired in 2016. We expect to implement a new ATM program utilizing this shop registration in the later part of 2017 whereby when appropriate we can access additional equity capital to match fund our investments. Uses of ATM will not be necessary until such time as we redeploy the available proceeds from the Genesis assets sales. In the utilization of this ATM we taken the consideration on liquidity levels in that of investment opportunities we expect to close as well as our goal to keeping our leverage below 5.5 times. So, with that, I’ll open up to questions-and-answers.
Operator: Ladies and gentlemen, thank you. [Operator Instructions]. We will go first to Chad Vanacore with Stifel.
Chad Vanacore: Hey, good morning.
Rick Matros: Hey Chad.
Chad Vanacore: So, thinking about the non-guidance that you put together. What went into those or which we factor beside the timing of dispositions in there?
Rick Matros: It's just a timing of dispositions. We had a pretty good line on when everything was going to close before Genesis to target to stay on those assets and we were face of making the decision to either stay in the Genesis in that sell or just for the real estate and you know as I said we are just committed couple of our comments to aggressively get in Genesis exposure down. So, factors [ph] stock would scratch and go to a different buyer pool, so the buyer pools there, we’re making progress on it, it’s a big enough issue that on that timing changed to contemplate whether it make sense to put out guidance that was actually going to have to be changed and we’ll do our first quarter earnings anyway. So, if you go up the run rate and then we’re confident at this point there we able to give much more solid guidance and real guidance on the first quarter call.
Chad Vanacore: All right. So, thinking about the dispositions with Genesis, there is three - they are staying, how much do you think that backs at the timeline, you put out there that you think by 3Q but what factor could push that back unit further?
Rick Matros: We don't think it's going to get pushed back further. We had said that prior to the change, we get the 35 sales done by the end of the second quarter if not sooner and this just pushes that we think to early third quarter. So, at this point we don’t see any way it gets push pass third quarter.
Chad Vanacore: Okay. And then just thinking out fundamental their cross skill nursing we expect pressures in 2017, how you can that ultimately impacts your coverage on the snip portfolio?
Rick Matros: Well obviously we must have a different snip portfolio, because our coverage’s continues to get better, and even I am curious when you look this is a reflection of who are buying and in combination with the snips that we sold and so you look at our portfolio coverage that surely the true indicator that who we have it our tenants now and we have been very selective with our picking tenants that are focused on getting ready to bundling that are focused on high acuity. You see our skill mix, our skill mix its must be the higher in the industry and so that it’s no different than what I have said before, you know there are operators that are well equipped to deal with the changes and there are operators that aren't and it's going to take them longer and some of them won't make it and the other factor for us is all of our acquisitions. We acquire smaller operators that are run by really sophisticated guys, guys that used to be with Genesis amount of care and the big guys and so you've got a real 18 in place and that’s been our focus and when you've only got three to five buildings, you’re really nimble. And so, so it's really just as simple as that. When you think about Genesis, I think they are doing all the right things, they’re just really big, there’s always been one company in the history in this space that’s bigger than Genesis and that would way back in the day and they had a downsize and that was a much simpler business than. So, they are big, so it just takes more time and we can go through other companies out there and I can give you some very specific reasons why certain companies are going through things that other companies aren’t as opposed to it being meaning sort of a sector phenomenon and because it just - because it isn’t the problems to you guys as I've said in the past is you just don't have enough data points. You've got a few publicly held post-acute and then every - the data have to come from us. So, I get the position you're in and it would definitely put you in a disadvantage from an analytical perspective. But we're not seeing these things at some of these larger companies are experiencing.
Chad Vanacore: All right. Thanks for taking the questions.
Operator: We will take our next question from Tayo Okusanya from Jefferies.
Unidentified Analyst: Good afternoon, this is Austin [ph] on for Tayo. Hey, thanks for taking my call, just a few quick questions from me. So first, I just want to clarify that you said the acquisition pipeline is similar above $500 million for 2017 split half and half between skilled nursing?
Rick Matros: Correct.
Unidentified Analyst: Okay, great. The second question deals more with Genesis and why they change their course regarding the proposed asset sales, did something changed any sense would be greater appreciated.
Rick Matros: Well. the 21 facilities that they’re going to stay in now, the bulk of those are in one state and that state historically has one of the worst states in the country from a liability perspective and they saw what happened in that state in elections in November, it looks like there’s a need for meaningful form in that state and with meaningful form in that state that really changes the economics pretty dramatically in favor of the operating environment there because the facilities there were the floating that were losers. They are just facilities that actually did pretty well, but they were - had a target on their backs from the point this far, so that was a big driver I know for that one state. And the other states I think it was less material than [indiscernible] facilities and there just been some favorable changes in the climate there as well. So, one speak to them obviously, it says like a handbook, I'm just trying to feeling some of it, some of the gaps based on my conversations with Genesis and my understanding and knowledge of what’s happening in those states.
Unidentified Analyst: Okay. Great. Thank you for that. And then last question from me, so we’re thankful that you guys provided the certificate of occupancy timing to the development pipeline, but just from a modeling purposes, which of the two dates should we be looking at when determining, one that development will start to generate revenue?
Harold Andrews: Well, there’s a range of dates because there are multiple assets with in each of those categories so I hope that clarifies because I'm not sure I follow the question.
Rick Matros: We should be, will be exercising the options and it’s a function of closing, right. So, it’s going to be - there is going to be some lag between exercising option at closing but not months.
Harold Andrews: And I think the point to keep in mind certificate of occupancy is something that’s easily estimable given that you can estimate a construction timeframe what’s difficult to estimate in some of these deals is the lease up period stabilization, which many of these are based on stabilization date versus a CVO date and the CVO date is designed to give you at least some sense of where those projects are but doesn't necessarily indicate the timing of exercising our options.
Rick Matros: But I would say that however you model it, you're not going to be off by very much. So, that’s key because a lot of the options that we had to exercise are actually based on the stabilization dates and so to Harold's point while we maybe off a little bit of what those stabilization dates are, we’re not going to be off by months. So, the difference between the estimates really happened should be relatively immaterial.
Unidentified Analyst: All right, great. Thank you, guys. That’s it from me.
Operator: We’ll go now to Josh Raskin with Barclays.
Joshua Raskin: Thanks. Hi, Rick, how are you? First question just on the $130 million of development I know you’re talking about you haven’t given formal guidance but you kind of run rate the $0.62 on an annual basis et cetera. The development I would assume would be additive to that in some reshape reform it’s just kind of coming in too late in the year to really have an impact and I guess juxtaposing opposing that is that maybe half of the offset to Genesis in terms of timing?
Rick Matros: So, I think a couple of things, it’s clearly 2018 event it looks at hot summer package 2017 there won’t be material but certainly I'm sure in terms of reinvesting in Genesis proceed maybe half a long with we investment proceeds what we know we’re going to have a 130% pay or debt we always can carried on to the investment of proceeds so there’s certainly back staff in terms of how long it’s going to take us to actually reinvest.
Harold Andrews: Yeah, and I would add to that not only people talk about the timing of the assets sales and that’s obviously a portion of the reason why we run certainness to the impact for 2017 numbers, but the flip side or the additional piece to that is how long it takes to redeploy that capital, because if we get out of these assets by third quarter survey by the end of the first quarter we’ll have more visibility on acquisitions that we’re looking to close or maybe have closed, so we’ll get more clarity on redeployment of that capital. But that’s really the biggest difficult part of putting on guidance right now is the redeployment of capital less all the timing of the sales.
Joshua Raskin: Right. But again, it sounds like you guys potentially have that covered.
Harold Andrews: Yeah, it just a matter of when will it happen.
Rick Matros: And actually, in our case it's more than half of the coverage.
Joshua Raskin: Yeah, I guess it's about to retire. So, the second question just broadly in the sniff market, you've got - and your Blocker Genesis other Blocker Genesis there seems to be some big buckets of sniffs in the market and I don't know if that makes it a buyers' market. Is that impacting the way you see cap rates I think you guys seem pretty confident you'll get this done by third quarter. But how are you thinking about proceeds and I know you get the 2 to 220. Is that should we be thinking about the lower end now or do you really think these are very market specific and there is plenty of buyers to absorb all of these potential sales.
Rick Matros: There is plenty of buyers. We here is really how to think about it, because I know it sounds like a lot because you’ve got the portfolio that you noted it is our goal to living out there. Go-to-living is about 75% done on selling those refunds [ph]. And those are fine assets either. So here is the way to think about it. Think about 15,000 facilities over 50 states and we spread these portfolios that are out there over a bunch of markets which really drop in the bucket on a market specific basis. So, every facility that we're involved in marketing we're seeing tremendous amount of competition. So, we haven't seen cap rates expansion but we are seeing we're also not seeing cap rate compression. Prices are pretty much where they've been. And that's what our estimates our estimates are based on. So, it's really robust out there. As I kind of noted before there is always a huge difference not more than ever I think between the private market and the public market. And the private market these are operators they're strategic buyers, they are finance sources that are used to being in the space and aligned with the operators that they feel good about. So, there is a much different perspective on some of the positive outlook. On the snip space, particularly when you think about most of these guys are smaller operators, they're incrementally adding a couple of buildings in their portfolio, so it's a nice add on to them. They've got the infrastructure to handle it and making it upside kind of some of those assets because number of those assets. And all of those portfolios have under managed. I mean that's really their point of view.
Joshua Raskin: Got it. And just one where you pick my interest in your prepared comments around if there is a refill bill meant if there is sort of replacement that long-term care would get carved out in the replacement. I'm curious under the [indiscernible] block grants for Medicaid. Is there I'm just curious if it's an easy answer if not, we can take it offline.
Rick Matros: No, we can take it. So, that's always important dialog even in the past couple of time when it has to happen. There are couple of specific reasons, one Medicaid was designed to address the needs of the blind, elderly and disabled. All the growth or the majority of the growth in Medicaid expenditure is has been all the expansion of our public community services. And so, it's not long-term care that's been driving the growth in Medicaid so that's part of the answer. The other part of the answer is access. There is a growing pull of eligible beneficiary that are going to need skilled that we all know kind of what those numbers are. And there is a declining pull of facilities and beds available to take them in. And it's LDC were not to be carved out and if you were to assume, I think this is a reasonable assumption that at the end of the year 10, the states are dealing with 30% less Medicaid and they have budget, and they had before. The new cardiac services and you're basically going to have people on the street. So, that access issue has always been a critical issue and it's been exacerbated by the fact that there is less and less product out there and the demand is going to get greater and greater. So, that that’s really the single biggest driver. The other point I'd make in terms of home and community services when a lot of these programs first started taking off you know when I saw there is an operator in all the states that we operated in. There was a flawed assumption on the part of policymakers that by expanding home and community based services. They basically save the money by having reduced occupancy and therefore expenditures and skilled nursing facility that never happened, because acuity even on the Medicaid population and skilled nursing facilities has continued to increase. So, home and community based services simply can't take care of those people. So, it's happened from a budgeted perspective at the state level, as you’ve got the state Medicaid nursing home expenditures which haven’t gone down, it gone up, but now you got the total of a piece of expenditure that didn't exist before because your assumption was flaw to begin with.
Joshua Raskin: Okay.
Rick Matros: The operative as a brand new [indiscernible] assumption the path you make stand after it was.
Joshua Raskin: Okay. Okay all right that's helpful. Thank you.
Rick Matros: Yeah.
Operator: [Operator Instructions] We'll take our next question from Paul Morgan with Canaccord.
Paul Morgan: Hi, good morning.
Rick Matros: Good morning.
Paul Morgan: Just going back to Genesis. Rick, you said you had a buyer pool lined up is that kind of the new buyer pool based on kind of the changes in what Genesis decided to do or that kind of where you were before?
Rick Matros: We're lining up to new buyer pool now, so the even though we switch to [indiscernible] the real estate, we've got pretty response is the just way earlier in the process that we're working for.
Paul Morgan: Right, okay and then now I guess with the changing in the timing, it would seem like even the size, what's going on in your pipeline at this point in the year, you could end up sort of with less dilution than you anticipate it even though wasn’t your necessary your intention, how would you think about funding kind of first half for the year, investments and come up in light of the anticipated proceeds that you will get in the third quarter, it stuff you kind of finance short term on the line and so would be sort of short term even more accretive or would you think about it differently?
Rick Matros: Yeah, now that's exactly how we would think about it. I mean we're going to - we've got plenty of liquidity on the revolver, we'll use that revolver or we'll use the cash that comes in, as that cash comes in and if we spend money on the revolver and the cash comes in, then we'll use those proceeds to pay the revolver back down.
Paul Morgan: Okay. Great. And then just lastly on the pipeline could you characterize maybe, what the mix is between kind of organic growth what's your existing operators versus new relationships?
Rick Matros: It's all new relationships. I shouldn’t say all, it's I call it 80% new relationships.
Paul Morgan: Is that reflection of kind of new operators aren’t looking for the same amount of growth or just there is a lot of new stuff coming?
Rick Matros: It's a combination of both one we think that we've come to see is that our operators was apparently [indiscernible] us they would have grown really slowly, they're very focused on both on the skilled side and the senior housing side activities going up, there are new models that are being implemented and they're have their main facilities to begin with, so they're not, they don't want us to bring on five buildings, they want to bring building at a time. So, organically, we're not going to grow with our existing tenant phase at the pace that maybe we originally thought we might and I'm actually not even being critical of our guide because in a dynamic environment the fact they're being cautious and making sure they’ve got everything together before they want next building, I think it's one of the reasons that you see the results and you see our portfolio. So, I appreciate that, but it caused us to, it also focused on adding additional relationships, so it's really a combination of the two.
Paul Morgan: Okay. Great, that's helpful. Thanks.
Operator: [Operator Instructions] We'll go next to Eric Fleming of SunTrust.
Eric Fleming: Harold, couple of quick number of questions, I missed. Harold what did you say, you said the net proceeds for advance the sale, what was that number, you said after debt?
Harold Andrews: Be between $185 million and $205 million and the difference obviously is there some high debt that goes with one or two of those assets. So, that's part of the gross proceeds.
Eric Fleming: And then another question on, you just talk about the overhead expenses, so you're saying kind of run rate going forward, you're talking about kind of a $3 million number plus dot com effectively?
Harold Andrews: Yes. That's right. Plus, dot com which is always difficult to predict, it's tied to our share price, and then there would still be some residual acquisition pursuit cost that get expensed, but it will be much less than it has been in the past.
Eric Fleming: Okay. So, just rough numbers what it looks like, your G&A line comes in flat to down from 2016?
Harold Andrews: Well, I think it's going to be well yeah it will be down because of the capitalization of acquisition pursuit cost, that's correct. So, if you take, if you took our historical stock comp that's going to be - it kind of fluctuates quarter-to-quarter, but it will be somewhere in that same range on an annualized basis and then you take the $3 million kind of run-rate per quarter of our cash corporate G&A. And then some small amount for transaction cost typically historically right around 600,000 a quarter I would say and probably be maybe a third of that going forward plus or minus and that going to give you full picture.
Rick Matros: And Eric, also I just want to make sure that messaging is clear on Genesis and that is we are going to continue to be aggressive on possessing assets once we started [indiscernible] once we actually see that they are going to be closing, we'll be mindful of balancing our growth with that, but for us that we just address that exposure even more aggressive we have in the past.
Eric Fleming: Okay. And, just one last one in terms of development pipeline you have this occupancy timeframe you guys have kind of general timeframe in terms of specific occupancy to stabilize is that like six months to 18 months, is going to give a range?
Talya Nevo-Hacohen: Eric, it's Talya. It really varies and primarily varies with the type of facility and the size of the facility, so no surprise, a small facility would have a shorter rump up period and a much larger facility would have a much longer ramp up period. I think if you think about 20 - CVO stabilization that's a good rule of thumb and give sort of a plus minus around that.
Eric Fleming: Okay. Thanks a lot.
Operator: And I would like to turn the conference back to Mr. Rick Matros for any additional or closing remarks.
Rick Matros: Thanks for your time today. We are all available to you for additional follow-up. And so, have a great day and we look forward to talking to you. Thanks.